Operator: Good morning, and welcome to the AZZ Incorporated Financial Results for the Fourth Quarter and Fiscal Year 2015 Conference Call. [Operator Instructions] Please note, this event is being recorded. 
 I would now like to turn the conference over to Joe Dorame of Lytham Partners. Please go ahead, sir. 
Joe Dorame: Thank you, Denise. Good morning, and thank you for joining us today to review the financial results of AZZ Incorporated for the fourth quarter and fiscal year 2015 ended February 28, 2015. As Denise indicated, my name is Joe Dorame. I'm with Lytham Partners, and we are the Investor Relations consulting firm for AZZ Incorporated.
 With us on the call representing the company are Mr. Tom Ferguson, Chief Executive Officer; and Mr. Paul Fehlman, Chief Financial Officer. At the conclusion of today's prepared remarks, we will open the call for a question-and-answer session. If anyone participating on today's call does not have a full text copy of the press release, you can retrieve it from the company's website at azz.com or numerous financial websites.
 Before we begin with prepared remarks, I would like to remind everyone certain statements made by the management team of AZZ during this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Except for the statements of historical fact, this conference call may contain forward-looking statements that involve risks and uncertainties, some of which are detailed from time to time in documents filed by AZZ with the U.S. Securities and Exchange Commission, including the Annual Report on Form 10-K for the fiscal year ended February 28, 2015. 
 Those risks and uncertainties include but are not limited to changes in customer demand and response to products and services offered by the company, including demand by the electrical power generation markets, electrical transmission and distribution markets, the industrial markets and the hot-dip galvanizing markets; prices and raw material costs, including zinc and natural gas, which are used in the hot-dip galvanizing process; changes in the economic conditions of the various markets the company serves, foreign and domestic; customer requested delays of shipments; acquisition opportunities; currency exchange rates; adequate financing; and availability of experienced management employees to implement the company's growth strategies. 
 The company can give no assurance that such forward-looking statements will prove to be correct. These statements are based on information as of the date hereof, and AZZ assumes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. 
 With that said, let me turn the call over to Mr. Tom Ferguson, Chief Executive Officer of AZZ. Tom? 
Thomas Ferguson: Thank you, Joe. Good morning to all of you on today's call, and we thank you for your continued interest in AZZ. It's good to have my first full year as AZZ's CEO under my belt and to be able to report higher earnings and sales on a year-over-year comparison. Fiscal year 2016 is a year of great potential for us, but we are also watching the energy markets carefully and evaluating the impact of low oil prices on our businesses, particularly those located along the Gulf Coast. 
 Overall, I am pleased with our results for the fourth quarter. The integration of the nuclear and industrial operations at WSI is complete and already generating benefits in customer service, improved efficiency and effectiveness. Our legacy Galvanizing and Electrical businesses continue to perform well in spite of some bad weather and lower rig activity. We are making progress with NLI, and key operational metrics are improving, which bodes well for fiscal year 2016. We are gaining traction on several important M&A activities, including a few international joint ventures. We remain committed to maintaining the disciplined M&A process and never getting deal fever. 
 WSI is benefiting from improved operational performance in a more normal nuclear outage cycle. The high refinery utilization rates and strikes in the fourth quarter did generate headwinds for WSI, but we are optimistic as we head into the new fiscal year. We look for WSI to benefit from their continued international focus and rebuilt North American sales team and are seeing a high level of activity already in the first quarter of fiscal year 2016.
 Our Galvanizing business is solid and has accelerated several new products and service growth initiatives. The price of oil has a limited impact on this segment, but generally we feel good about the upside in this business, both organic and inorganic growth. We remain active on the M&A front in this segment. 
 For Galvanizing Services, we will continue to focus on operational excellence, pricing on our value and continued growth through acquisitions and also new metal finishing services. We have a fairly high concentration of galvanizing capacity in the U.S. Gulf Coast area, so are monitoring the economic impact of low oil prices carefully. So far, the impact has been small, but we are seeing a few fabrication project delays. 
 For our legacy Electrical business, the results overall are meeting our expectations with some businesses doing well and others being a little more challenged. This platform's overall performance is reasonably good given their mixed market conditions. 
 The Electric utility market in the U.S. remains sluggish, but we have benefited from strong international opportunities and a good backlog. We are optimistic about their opportunities as we enter fiscal year 2016. They are focused on establishing international joint ventures to provide quick market access and on improving their operational efficiencies and customer service. The legacy Electrical platform, as with Galvanizing, has a stable leadership team and solid operating performance and also, some good niche technology. The exposure to oil price impacts is relatively small for this platform and focused on the API tubing and hazardous duty lighting businesses. These represent approximately 5% of AZZ's overall revenues. 
 We also focused on key fundamentals during fiscal year 2015 and improved our tax position and emphasis on cash efficiency. Additionally, we have aligned our incentive programs more closely with the investor community. We have converted our profit-sharing program to a performance-based bonus program. This program is designed predominantly around operating income cash flow, return on assets and productivity. To help drive results, every employee is now a participant in the incentive program. We have also extended equity-based compensation deeper into our management ranks. 
 I'm happy to be here at AZZ and believe we have the leadership team, products, capabilities and balance sheet to generate above-market results for a long time. We have taken a lot of the actions during fiscal year 2015 that have positioned us for a stronger performance in fiscal year 2016. Based on our confidence, we are confirming our previously announced guidance range for fiscal year 2016 at $2.75 to $3.25 EPS and $875 million to $925 million in revenue. 
 Now I'd like to turn it over to Paul Fehlman to cover the financial highlights. Paul? 
Paul Fehlman: Thank you, Tom. For the fiscal year 2015, we reported record net sales of $816.7 million, an increase of $65 million or 8.6% over the prior year. EPS also grew 8.6% to $2.52, and our backlog finished at $332.6 million, up 2.3% versus last year and up 10.8% sequentially from the end of the third quarter of fiscal 2015. 
 We were also successful in 2 areas of focus for the year, taxes and cash. Our effective tax rate fell from 36.5% in fiscal 2014 to 27.9% for fiscal 2015, and we posted 10.1% growth in cash flow from operations year-over-year. That's up $10.9 million to $118.2 million.
 As for our full year segment results, fiscal 2015 revenues in our Energy segment were up 10.1% to $458.3 million compared to the prior year, while operating incomes fell 13.1% to $38.7 million compared to the prior year, reflecting the effect of costs related to our previously announced realignment program and project cost overruns at NLI and WSI recognized in the second quarter of fiscal 2015.
 In our Galvanizing Services segment, full year revenues grew 6.8% to $358.3 million compared to fiscal 2014 while operating income rose just under 1% to $88.6 million compared to the prior year, and was negatively impacted by severe weather conditions and higher zinc costs we paid during the year.
 Looking at fourth quarter performance. For the fourth quarter of 2015, we reported revenues of $182.3 million and EPS of $0.63 as compared to $181 million in revenue and EPS of $0.40 in the same quarter last year.
 Our fourth quarter book-to-bill ratio of 1.18 drove backlog up to $332.6 million. We expect to shift 24% of that backlog outside of the U.S. The effective tax rate for the quarter fell from 39% in the fourth quarter last year to 14.5% in the fourth quarter of fiscal 2015.
 As for our segments in the fourth quarter, revenues for the Energy segment for the fourth quarter fiscal 2015 fell to $97.2 million as compared to $103.5 million in the same quarter last year, a drop of 6.1%, partially driven by the effect of strikes at certain refineries. We expect to be able to recover these delayed refinery projects during fiscal 2016. 
 Operating income for Energy increased 6% to $9.8 million compared to $9.2 million in the same period last year. Operating margins for the fourth quarter were 10.1% for the quarter as compared to 8.9% in the prior year period.
 Revenues for the Galvanizing Services segment for the fourth quarter were $85.1 million compared to the $77.5 million in the same quarter last -- in the same period last year, an increase of 9.8% from a combination of the acquisition of Zalk, our Joliet plant being fully online and organic growth. Operating income was $20.3 million as compared to $18.7 million in the prior period, an increase of 8.8%. Operating margins for the fourth quarter were 23.9% compared to 24.1% in the same period last year.
 We believe that our ability to generate cash and our strong balance sheet are 2 of our core strengths and, when coupled with the access to borrowings under our existing banking agreements, we can support growing our operating platform. 
 During fiscal 2015, we paid down about $68 million in debt, driving the year-end balance of $337.8 million while further improving our leverage ratios. We also used our cash to purchase the Zalk galvanizing business and to increase our dividends to our shareholders. 
 I'm very pleased with the progress we've made this year on key fundamentals like cash flow generation, working capital management, SG&A cost control, tax efficiency and creating a much greater focus on returns on capital deployed.
 For fiscal 2016, we expect to continue to focus on driving returns on capital, cost control and cash generation, and we expect to achieve an effective tax rate closer to 33% for the year, although there may be variances between quarters. 
 With that, I'll turn it back to Tom for concluding remarks. Tom? 
Thomas Ferguson: Thanks, Paul. The key takeaways I'd like to leave you with are these: I believe AZZ remains a compelling investment due to our 28th year of profitable operations, our strong balance sheet and cash flows, great portfolio of products and services, significant international growth opportunities and a talented and seasoned leadership team.
 We will continue to focus on growing our Galvanizing business, both organically and through acquisitions. We will continue to expand the presence of our Electrical businesses internationally, both directly and through joint ventures. We are accelerating our emphasis on operational excellence and customer service at both WSI and NLI. While we have made significant progress over the past year, we have tremendous upside going forward as our leadership team continues to gain traction on our key initiatives, and our customers experience the improvement in our service performance.
 We are looking forward to continued improvement in our businesses and greater impact from our new growth strategies as we enter fiscal year 2016. 
 Thank you for your participation on the call today, and now we'll open it up for questions. 
Operator: [Operator Instructions] The first question will come from John Franzreb of Sidoti & Company. 
John Franzreb: I'd like to start the Galvanizing business. Another quarter of we'll call it below historic norms on the operating margin. Last quarter you called out pricing pressures. It seems to me that you're kind of calling out the weather. I'm wondering if you can kind of talk to what's having the greater impact on the margin profile now. And how does this kind of play out going forward? 
Thomas Ferguson: Yes, I think the weather impacted our volume a little bit in the quarter and particularly along the Gulf Coast. There is, as I mentioned last time, we did have some new competition come into the market. So there are some pricing pressures. And quite frankly, the growth in the Gulf Coast market didn't really materialize as people have been expecting with a large petrochemical build-out, for obvious reasons. But also, we've taken some large projects at lower prices, and the cost of acid has gone up fairly significantly. So those are all the things that have happened in the last couple of quarters to our Galvanizing business. I think going forward we're seeing more stabilized costs on acid. We've got a lot of initiatives to reduce our usage of acid. And the fact that we're driving project activity -- and the new products, I think, are going to have a positive impact going forward on our margins. 
John Franzreb: I'm sorry, new products in Galvanizing? Could you just talk about that? 
Thomas Ferguson: Yes, new services, taking on, providing more all-inclusive service capabilities to the customer base in the form of more sandblasting, more pickup and delivery transportation services, trying to be more of a -- I hate to call it a one-stop shop, but because of our size and our presence in so many parts of the country, we're well positioned to take on additional services. And then we do have some new technologies that we're not quite ready to talk about that we think will have impact more towards the end of the year or even in outer years. 
John Franzreb: Okay, great. And Tom, you've mentioned in prepared remarks that the nuclear business is, I think you phrased it, is more normalized. Could you talk a little bit about the outage cycle for the first half of the year, how it's looking compared to your expectations going into the year, and discuss that at some length? 
Thomas Ferguson: I think the good news for us and what we're looking at is our quoting activity into the nuclear segment is up, and we're seeing not just more opportunities, but larger opportunities in both our WSI and NLI operations. So we're -- when we say it's normalized, it's because we're seeing more activity in the U.S. marketplace. We do have some international initiatives, but for the most part, it's -- our coverage is U.S. So we're -- our sales organizations are feeling better about what they're seeing. They're seeing more activity. And whether it's more outages, I haven't looked at the numbers in the last month or 2, but at least there's more activity on the outages that we're participating in. 
John Franzreb: Okay. And one last question. What do you think about how these -- the structure of the Energy segment looks now? You've been there for a while. You've done some realignment. Is there further moves that have to be made? Or are you comfortable with the structure as it now stands? 
Thomas Ferguson: I'm very comfortable with the structure now. We've -- I've got 3 good general managers over the 3 different business segments. The vice president over at legacy Electrical has been here, I think, 27 years, so long-standing executive once we integrated WSI and really integrated the leadership team, integrated the operational structure between nuclear and industrial. We still have separate sales forces in that organization, but the vice president, general manager over WSI and SMS, real solid performance. It doesn't really show up in our numbers that much yet, but they've made a lot of headway, and we're seeing it in how we're quoting, we're seeing it in the ability to take market share because the sales force is back in place. And the -- just the better level of service and management that we're bringing to bear there. And then on NLI, the general manager there was brought in I believe May of last year. So coming up on 1 year under his belt. And once again, the results aren't reflecting it yet in the financials, but our on-time deliveries are up, our cost of quality is down, our -- the plant is a different plant than it was a year ago. So feeling good about that organizational structure. 
Operator: The next question will come from Schon Williams of BB&T. 
Christopher Williams: Tom, Paul, I wonder if -- maybe just help me get comfortable with where the revenue guidance is right now. I mean, at the midpoint you're -- it seems like you're expecting a rather kind of sizable acceleration in the growth profile of the businesses. Kind of help me understand, what did you lose maybe in fiscal Q4 that you think you're going to get back in fiscal '16? How do we get, again, how do we kind of get comfortable with where that guidance is? And I guess, especially in light of the fact that the backlog is only modestly up at this point on a year-over-year basis and the electrical order patterns have actually been down the last couple of quarters, so again, maybe just talk about what -- where you see the opportunities. 
Thomas Ferguson: Yes. That's a good question, Schon. Let's start with NLI, and I'll remind you, we've been talking about, probably every quarter, the delayed large projects at NLI. We anticipate those shipping this year. And I don't know that we've given any real numbers around it, but it's over $25 million of these past due or delayed projects that we anticipate will go out. So there's one big difference this -- as we go into 2016. Two is WSI. We had really pulled in the reins once we integrated the management team, stopped taking what I consider to be riskier jobs, beefed up the contractual reviews. And we've walked away from projects in the last couple of quarters that just didn't meet our risk profile. And part of that was clearing the decks so that WSI could perform on the projects that they do take, get new technology in terms of welding solutions brought to bear, and let the organization stabilize. So we anticipate, in a more normalized refinery turnaround cycle as well as just a better presence in the U.S. nuclear outages, as we've talked about, we're going to have nice increase in activity in shipments at WSI and SMS. And then on the Electrical, most of what you've seen in the downturn over the last couple of quarters or the -- call it stagnant sales activity is -- it's our tubing business, our lighting business, the ones that are exposed to rig counts and price of oil. That business is off, and we don't insist that -- we're not anticipating that's going to come back significantly at all. So that's what's not in our guidance. And the other Electrical pieces, we're looking at a normal year. It's -- we're seeing opportunities. Some of it will come from taking market share, some of it will come from the better presence internationally in China and the Middle East and -- but we're not looking for dramatic improvement on the Electrical side because of the headwinds from the price of oil. 
Christopher Williams: Okay. And then maybe if we could address the margin profiles of these businesses as we go into fiscal '16. I mean, it sounds like maybe there's some internal work that you can do with galvanizing in terms of sourcing, but maybe not a lot of change there, maybe -- I don't know. As you look maybe particularly at the Energy business, what should we anticipate kind of getting back as we move into fiscal '16? So I think about the cost overruns that you had earlier in the year and some of the lower margin projects. I mean, you get a little bit of the purchase accounting back. I mean, what is reasonable in terms of the margin profile for Energy as we go into '16? I mean, could we be looking at another 100 basis points, 200 basis points of margin expansion there? Or what's a reasonable outlook? 
Thomas Ferguson: You pretty well nailed it, Schon. Paul will probably comment here in a second. But NLI will not have those really ugly -- what they did ship was ugly, as we've talked about. They took some pretty large losses on jobs. Those are gone. The projects that have remained in their backlog that are delayed are much better margin, and mostly around our performance on those jobs is far better. In the legacy Electrical, that's pretty much normal stuff. We will anticipate a little bit of improvement there, but from operating improvement activities, a little bit of some of the international stuff. And then we're anticipating much better performance out of WSI. That is just where mid-single digit margins was kind of ugly. And it's indicative of all of the changes that, one, needed to be made, but two, in my view, we were late making them by about a full year before we really integrated the management, put the businesses back together, started to leverage the operating platform and leverage the resources. So all that's behind us. So yes, we're looking for 100, 200 basis points is well within the -- my expectations. But Paul may want to give you a few more specifics there. 
Paul Fehlman: No, that's exactly -- I actually won't give you specifics on where we're going to put those segments. But I think Tom nailed it, and we've been talking about it for the last year, that really the value here is getting NLI and WSI turned around, if you will. We've been talking about this for a while, that we see WSI is definitely answering the helm. We see improvements going on there. They ran into a little bit of headwind in the fourth quarter based on the strikes. But otherwise, the operating margins were actually up on the Energy side in the fourth quarter year-over-year. We are expecting NLI to do the same thing. We're starting to see the green shoots of spring come forward there, and those are going to be the 2 areas of improvement for the year. That's our expectation. 
Operator: Our next question will come from Noelle Dilts of Stifel. 
Noelle Dilts: So I guess, quick question first. Is there any way you can quantify just how much the strike you think impacted revenues and profitability within the Energy segment? 
Thomas Ferguson: I don't want to get too -- well, it's actually, it's hard to put an exact number on it, but we think that it's probably, revenue-wise, around $6 million to $10 million-ish. And I'll also say, Noelle, that from what we see when those strikes are over they're still negotiating in a couple places, but that's done. 
Noelle Dilts: Okay, great. And then second, I was hoping you could just give us a little bit more color on some of the segments within Galvanizing, specifically I'm most curious to hear about the electric transmission side, just what you're seeing in that market in terms -- in the submarkets in terms of demand now and how you're thinking about those moving into '16. 
Timothy Pendley: Noelle, this is Tim Pendley. What we're seeing on the transmission/distribution side is nice upticks. It remains stable. We're seeing a much more solid year ahead of us than we did last year. On the solar market, we're still seeing nice steady growth in that area. It's much smaller projects, as we discussed in previous calls, but it's still good solid business for us. 
Noelle Dilts: Okay. And then how about, obviously, some of these petrochem projects aren't materializing to the extent that you were expecting, but are you starting to see -- are you seeing a little bit of an uptick in demand there? 
Timothy Pendley: We've seen some nice, in the fourth quarter especially, we saw some nice projects rolling forward. It looks to be solid for us throughout the year with some impact to the oil prices still remains a little sketchy going beyond FY '16. 
Noelle Dilts: Okay. And then also on the industrial side, I know that's a relatively sizable market within galvanizing, are you starting -- are you seeing any -- what we're hearing from a lot of larger industrial companies is that, broadly, industrial is slowing down because of the oil price declines. Is that something that you're seeing or is actually they're holding in relatively steady? 
Timothy Pendley: Right now, what we consider the industrial market is so well diversified, we're looking at it to remain stable for us throughout the year. We are seeing a little bit of weakness on specific projects. But overall, the OEM outlook, it remains very solid for us and is overshadowing the little bit of weakness we're seeing in the industrial market. 
Noelle Dilts: Okay, perfect. And then, Tom, I want to go back to your comments on the JVs in the international markets and then also the comment you made in your press release that you're pursuing -- aggressively pursuing international expansion. Maybe you could talk a little bit about some of the markets that you see as most attractive and just how the potential acquisition candidates, how kind of pricing is looking in the markets? 
Thomas Ferguson: Sure, that's a couple of good points there. On the -- as we -- we don't have a large international presence. WSI is located in -- has a facility in Poland and headquartered out of the Netherlands. We've got some new operations, relatively new operations in Brazil, and then we've got -- several of our businesses are up in Canada. So as we look at a lot of the growth opportunities for our high-voltage bus and our medium voltage bus products are in the Middle East and in China, and we need to have more of a local presence, and we really just don't want to go by ourselves in this case. So a big factor there being speed to market and familiarity with the rules and customs in the regions. But that's where we have a lot of opportunities, and those opportunities are going to continue for several years. So those are -- that's where we're looking at joint ventures. The new Vice President of Business Development that we brought on a few months ago has very good contacts in those areas and is very seasoned in those international markets as well as most of the people we've either promoted or brought on into the ranks on the team have a lot of international experience. So we feel very comfortable at this point. We're in some negotiations. Obviously, I don't want to get into any specifics. But over the next quarter or 2, you'll see some of those announced. And I just think that ensures that the opportunities we're bidding today we'll be able to close and bring in. And that's on the electrical side primarily, although we have made some additions to the sales team, primarily on WSI and NLI, to focus on nuclears -- or on the international side. And then we're looking at some new reps, and we've tightened up our rep agreements. But at the same time, we want to change over some of the reps that have been around a long time and haven't generated much for us. So as we go into -- and that would include Latin America because we've been doing some things on the technology front for some of our products so that they are -- they comply with international electrical standards and we can move them into Latin America relatively easily. So we've kicked off an initiative there that's been underway for a relatively short time. On the pure acquisition and divestiture side, we talked about the divestitures were on the electrical platform related to more of the oil and gas side, and that's just -- we've put it on hold. The pricing in that market right now wouldn't be conducive to divesting assets that are reasonably good for us. We just think that there's probably other people that can do more strategically with them than we can, but we're not willing to give them away. On the acquisitions side, I think mostly it's around galvanizing. We're -- I don't think we've -- it is mostly around galvanizing. We've got some good activities ongoing. Obviously, we've got NDAs in place on both sides of those, so we can't talk about them. But we've been -- they've been underway for a few months. They're -- these are not brand new things. These are ones we've been negotiating. So you can anticipate. Hopefully we'll have some positive news here over the next few months. 
Operator: [Operator Instructions] The next question will come from Brent Thielman of D.A. Davidson. 
Brent Thielman: Paul or Tom, did you guys provide the organic growth rate for Galvanizing this quarter? 
Thomas Ferguson: No, no. The organic growth rate? So the difference would be Zalk and -- yes. No, I'll put you on the ballpark on Zalk. It's -- for fiscal 2015 versus '14, revenue is up about $4 million. It went from 0. 
Brent Thielman: Okay. And the margin uptick in the Energy segment on lower sales, it's nice to see. Was mix a big benefit to you this quarter because you would have had less kind of services turnaround work? Or can we kind of look at this as more operating efficiency is driving the improvement? 
Thomas Ferguson: Well, tell you what -- actually, I'm not going to call it mix. Yes, I think we are seeing some operational improvement on the Energy side. It is still early days. So that should improve as the quarters play out in fiscal year 2016. So I hate to call it mix too because I think when we look at -- we're trying to drive margin up in all of our businesses on the energy front. And like I said, you will see the benefit of improved margins at NLI. They were up in the fourth quarter but still pretty marginal. Basically, everything was up except for what we saw going on with the headwinds at WSI. So you're getting a nice positive tailwind from all of them. 
Brent Thielman: Okay, fair enough. And then the uptick in quoting activity on the nuclear side, is this safety upgrades? Or what is it that you're specifically seeing right now? 
Thomas Ferguson: It looks -- it's kind of across the boards. We're seeing some upgrade projects. We're seeing some safety-related projects. We're seeing just the delayed components for maintenance are now being -- are now active. So it's kind of like they've got to spend some money now to keep their facilities running. They've stabilized around what the regulations are. And so even though, as we read pretty regularly, they're not real profitable, but these are just activities they have to go forward with. And some of it is compliance, but most of it is just the delayed maintenance that needs to take place. 
Brent Thielman: Okay. And anything brewing in the new project front or... 
Thomas Ferguson: Yes, nothing -- on the nuclear side, we're -- there's noise out there, but nothing that I'd consider even firm enough to be budgetary quotations at this point. [indiscernible] 
Brent Thielman: Okay. and then one last one if I could. With the refinery strikes causing some delays in turnaround work, I think you put a rough number around it, $6 million to $10 million. Does that potentially fall here into the first quarter? Is it kind of spread across the year? How do we think about that? 
Thomas Ferguson: I think that it falls into the first quarter, and then quoting activity for the fall season turnaround cycle is also pretty high. So those are things that I -- how quickly they actually spend that because there are some offsets, there are some companies that are delaying maintenance activities, the more -- the integrated oil companies. So it's a little bit of a mixed bag, but we're very active right now in the first quarter, and we're very active on quotations for the fall outage season. So whether it's falling into this quarter or it's going to fall later in the year, they are going to happen because this is maintenance that needs to occur. 
Operator: The next question will come from Jon Braatz of Kansas City Capital. 
Jon Braatz: All right, turning back to NLI and WSI, we're obviously expecting some nice improvement in margins in those businesses here this year. But as we look forward, how much more improvement can we see in those businesses, sort of independent of any really meaningful increases in the top line? I guess I'm just trying to get a better sense on what more can be done internally to improve those margins. Any comments in that regard? 
Thomas Ferguson: Yes. I think there's a couple of things. One, the sales organization on the WSI side, the rebuilt sales organization, is already allowing us to either regain old market share or take new market share, whichever way you want to look at it. But also, as they're doing that, they're back out there selling our value and the real high quality solution capability that WSI brings to cover vessels, to containment shells, to things like that, that there's not a whole lot of companies out there to do. But we've lost that -- we've lost those relationships. So I think part of this is, as we're able to demonstrate that value again to old customers that may be coming back to us, you're looking at a couple of hundred basis points down the road to -- for them in the longer term. We'll see maybe a little of it this year. But I think most of it actually comes post fiscal year 2016, over and above what we already have in our guidance for this year. NLI, we've got to normalize that business and decide what it really needs to be going forward. So there's some decisions we need to make. It's going to have a big shipment year this year because of the delayed big projects in its backlog. So this year would actually be somewhat of an anomaly, just like fiscal year 2015 for NLI was an anomaly on the low side. But there we're going after new services. We have invested some capital in new equipment, for seismic testing for instance. And we're -- so I think, on a normalized basis, once again I'll stick with that 200, 300 basis points of margin improvement beyond this fiscal year, is where we're trying to take them. In the NLI case, we may decide to maintain them at a somewhat smaller revenue level than we have this year. So those are the things that we'll talk about as this year wears on before we get into next year. 
Jon Braatz: So you would characterize NLI as more of a work in process relative to WSI? 
Thomas Ferguson: Yes, correct. I think WSI, they've got their marching orders, the team's in place. They've been taking the actions. The sales force is rebuilt and engaged. Internationally they're in good shape. Poland's a great operation for us, and Brazil has come up nicely in spite of lower activity levels at Petrobras. NLI, the team is in place, they've taken a lot of the actions. We've got to clear this backlog that we've been talking about and then see where we're at. 
Jon Braatz: Okay, okay. Second question, looks like you could generate another good year of free cash flow. I assume that's going to continue to be directed towards debt repayment. And on a broader sense, how you look at the capital structure and what kind of leverage you think is appropriate for this business. 
Paul Fehlman: Yes, it's Paul. I'll stay consistent with what we've said in the past, which is we're a lot more comfortable between 1 and 2x leverage than over 2. Obviously, we're paid down to -- do the math yourself, but probably about 2.25 turns of EBITDA right now. We've done the other things. We've made small acquisitions or made small acquisition on -- in the last year. And Tom has already talked about we're active in M&A. And we will continue to drive for that kind of low leverage and utilize the cash flow to add on to the operations of the business. 
Jon Braatz: Paul, what do you think CapEx will be for the year? 
Paul Fehlman: We're not calling that out right now. I would say there's a normalized level that will stay about the same. But if we do -- if we look at some buy versus build for the year, maybe we'll be more talking -- we'll be talking about that more later, but we're taking a look at a couple things. 
Operator: And ladies and gentlemen, this will conclude our question-and-answer session. I would like to hand the conference back over to Tom Ferguson for his closing remarks. 
Thomas Ferguson: Very good. Thank you for participating in today's call, and we look forward to talking with all of you again at the conclusion of this current quarter. Again, thank you, and have a great day. 
Operator: Ladies and gentlemen, the conference has now concluded. We thank you for attending today's presentation. You may now disconnect your line.